Operator: Good afternoon, everyone. Thank you for joining today as Emergent discusses their operational and financial results for the Second Quarter of 2025. As is customary, today's call is open to all participants. The call is being recorded and is copyrighted by Emergent BioSolutions. In addition to today's press release, there are a series of slides accompanying this webcast available to all webcast participants. Turning to Slide 2. During today's call, Emergent may make projections and other forward-looking statements related to their business, future events, their prospects or future performance. These forward-looking statements are based on their current intentions, beliefs and expectations regarding future events. Any forward-looking statement speaks only as of the date of this conference call. And except as required by law, Emergent does not undertake to update any forward-looking statement to reflect new information, events or circumstances. Investors should consider this cautionary statement, as well as the risk factors identified in Emergent's periodic reports filed with the SEC when evaluating their forward-looking statements. During today's call, Emergent may also discuss certain non-GAAP financial measures that involve adjustments to GAAP figures in order to provide greater transparency regarding Emergent's operating performance. Please refer to the tables found in today's press release. Turning to Slide 3. The agenda for today's call will include Joe Papa, President and Chief Executive Officer, who will provide an update on the company's transformation plan and highlight key results; and Rich Lindahl, EVP and Chief Financial Officer, who will provide details on the second quarter and year-to-date 2025 financial results as well as provide an update on full year 2025 guidance. Joe Papa will conclude by discussing the company's business performance and key catalysts for growth followed by Q&A. Finally, for the benefit of those who may be listening to the replay of this webcast, this call was held and recorded on August 6, 2025. Since then, Emergent may have made announcements related to topics discussed during today's call. And with that, I would now like to turn the call over to Joe Papa. Joe?
Joseph C. Papa: Thank you, operator. Good afternoon, and thank you for joining our second quarter 2025 earnings call. This is Joe Papa, CEO of Emergent, and I'm joined today by Rich Lindahl, our Chief Financial Officer. Let's turn to Slide 5. I am pleased to report that we are making great progress and continue to execute our plan and are on track with our multiyear transformation. First, I want to thank all of our Emergent colleagues for their great work, staying focused on our mission to protect and save lives while advancing our turnaround priorities. Among our key goals for 2025 are to pursue strategic investment opportunities, both internal and externally through business development that will position Emergent for long-term stable growth while creating significant value for our shareholders. Throughout the quarter, we focused on increased operational efficiency and driving profitable growth, as well as maintaining our market leadership position in the critical biodefense and public health sectors where we have strong established customer relationships. Turning to Slide 6. We present a more detailed look at the second quarter. I could not be prouder of our second quarter performance where we beat our internal guidance on both the top and bottom line. Second quarter revenues of $141 million came in $21 million above our guidance range of $95 million to $120 million. Even more impressively, year-to-date, we have achieved $106 million in adjusted EBITDA based on our stronger-than-expected gross margins. In light of this, we are raising the low-end and the midpoint of our 2025 adjusted EBITDA guidance to $175 million to $200 million from $150 million to $200 million previously. Year-to- date, we have increased our liquidity by $297 million and now have access to $367 million in financial capacity to invest in growth opportunities. This includes $267 million of cash on our balance sheet and also includes our undrawn $100 million revolver. Our net leverage has now improved to 1.9x debt-to-adjusted EBITDA. That's down from 9.9x in the second quarter of 2024, and our stock has rebounded to qualify for inclusion in the Russell 3000 Index. These financial achievements represent the evidence of our progress to date. As you can see from the slide, we executed 7 revenue-producing contract modifications year-to-date, and we are clearly an industry leader in medical countermeasures. Our 2024 investments in international programs outside the U.S. has already generated great results. As you can see, our international MCM sales represent 40% of the revenues year-to-date. We are committed as ever to help combat the opioid overdose epidemic and saving lives. Our position as the market leader in the naloxone category remains very strong as our business rebounded over 50% since the first quarter of 2025, following the onetime events we experienced in the first quarter of the year. I'll share more on naloxone business and MCM later in the presentation. Lastly, we are looking at multiple levers to create growth and drive shareholder value. We have already done this through cash- generating divestitures while preserving our EBITDA. We are also making progress in evaluating our internal R&D efforts, while we are exploring synergistic external bolt-on opportunities like Rocketvax and the KLOXXADO Nasal Spray. Finally, we implemented a 12-month share repurchase program of $50 million, and we have repurchased 1.1 million shares in the second quarter. We believe Emergent is well positioned for a strong second half of 2025. On Slide 7, Emergent is a business founded over 25 years ago. We are an established and reliable partner to both the U.S. government and other allied governments. Our business is unlike that of traditional pharmaceutical companies. Our manufacturing model is North American-centric. In other words, we have a durable supply chain because our MCM products are manufactured in the U.S. or a USMCA-compliant facility in Canada. Furthermore, Emergent remains committed to our historical practice of offering the most favored pricing for our medical countermeasure products to the U.S. government. We believe this pricing model reflects our role as a trusted partner in the current administration and supports long-term collaboration with the U.S. government. Now I'd like to turn the call over to Rich to walk through our second quarter financial results.
Richard S. Lindahl: Thanks, Joe. Good afternoon, everyone. We appreciate you joining the call. Emergent's second quarter results reflect continued strong execution and progress on our multiyear transformation plan. Our second quarter revenue came in at $141 million, exceeding the top end of our guidance range by $21 million. The second quarter performance was driven by both pillars of our core business, medical countermeasures and NARCAN. We have meaningfully strengthened our cash position and materially reduced our net leverage to 1.9x from 9.9x a year ago. Adjusted net income for the second quarter was $9 million, representing a substantial improvement compared to the $122 million loss in the same period in 2024. Additionally, we saw significant year-over-year improvements in both adjusted gross margin and adjusted EBITDA margin, driven by strategic divestitures, cost reduction actions and the continued execution of government contracts over the past year. These results underscore the progress we are making in reshaping the business towards sustained profitability. Both our medical countermeasure and opioid overdose reversal products continue to deliver solid performance with consistent demand, supported by strong bipartisan backing. Our leadership in MCM remains a strategic priority with both U.S. government and international partners relying on our proven capabilities to enhance health security and emergency preparedness. With that, let's move to the second quarter financials. As highlighted on Slide 9, our key financial metrics are total revenues of $141 million, which came in above our initial guidance range of $95 million to $120 million. Note that second quarter 2024 had revenues from several streams that are not recurring in 2025. These include our divested RSDL product, revenue from our divested Camden CDMO facility and the onetime Janssen $50 million settlement revenue. All of these were partially offset by higher smallpox sales in Q2 2025. Adjusted EBITDA was $29 million, an increase of $39 million versus negative $10 million the prior year. Adjusted EBITDA margin of 20%, an increase of 2,400 basis points versus the prior year. Adjusted gross margin of 49% improved 2,300 basis points year-over-year, driven by favorable product mix, expanded international sales of MCM products and a leaner manufacturing cost structure stemming from our previously announced restructuring initiatives and divestitures. And finally, operating expenses were down $63 million or 53% versus the prior year across R&D and SG&A. Transitioning to Slide 10, our second quarter revenue highlights were total product sales of $126 million, down year-over-year as higher smallpox revenue was offset by lower NARCAN and anthrax sales. All other revenue comprised of services, as well as contracts and grants revenue was $15 million. In the second quarter of '24, revenues for this segment included $50 million from the Janssen settlement, as well as sales from our Camden CDMO facility. Total sales were $141 million and again, $21 million above the high end of our guidance range. This was driven primarily by smallpox revenue timing and also a stronger-than-expected rebound in NARCAN public interest sales. Turning to NARCAN. Sales saw a roughly 50% increase in revenue in the second quarter as compared to the first quarter of 2025, following the onetime disruption of a distributor selling short-dated generic naloxone at discounted pricing. With that event now behind us and improved clarity around federal funding, state-level purchasing has stabilized, supporting consistent demand across both the public interest and retail channels. To further highlight the improved performance of NARCAN in the second quarter of '25, if you exclude the sales to California in second quarter of '24, U.S. public interest volume was flat year-over-year, highlighting our market-leading position in this channel. In addition, we improved access and operational efficiency by integrating KLOXXADO into our NARCANDirect platform, streamlining procurement of both NARCAN and KLOXXADO for first responders and public health partners. We believe that this will further reinforce our leadership position. Turning to Slide 11, I'll walk through our performance for the first half of 2025. Total revenue was $363 million. The decrease versus the first half of '24 primarily reflects divestitures, onetime services revenue, as well as some strategic pricing actions taken on NARCAN to maintain competitiveness within institutional and government channels amid evolving dynamics. Adjusted EBITDA was $106 million or 29% of total revenue, an improvement of approximately $49 million and 1,900 basis points year-over-year. This illustrates our strong operating leverage and cost reductions taken last year. Adjusted gross margin of 54% improved 1,500 basis points compared to the prior year. This expansion was driven by a more favorable product mix and continued operational efficiencies stemming from the 2024 restructuring initiatives. Operating expenses totaled $124 million, a $95 million reduction from the prior year. This meaningful decrease reflects the successful execution of our 2024 cost optimization strategy, which has materially streamlined our expenses and improved our financial flexibility. Moving to Slide 12. The first half of 2025 total product sales were $328 million. Breaking that down by key product: NARCAN revenue totaled $113 million; anthrax medical countermeasure revenue was $60 million, influenced by timing of government procurement orders; smallpox revenue grew to $147 million, material year-over-year improvement, reflecting deliveries under our multiyear contracts and a significant increase in international demand; and finally, all other revenues were $35 million, reflecting our contracting grant revenue from the U.S. government-funded Ebanga development program. 2024 revenue also included the onetime $50 million in Janssen settlement and Camden CDMO business revenues. Turning to Slide 13. I'm pleased to report continued progress in strengthening our financial position. As of the second quarter of 2025, total liquidity reached $367 million, comprised of $267 million of cash and $100 million of undrawn revolver capacity. Both liquidity and cash was significantly improved year-over-year. Our net debt in the second quarter of '25 was $433 million, a $361 million reduction or 45% year-over-year. Operating cash flow also improved $110 million, driven by strong improvements in our net working capital. And coupled with our improved profitability, we reduced our net leverage significantly year-over-year, ending at 1.9x adjusted EBITDA in the second quarter of '25. With an enhanced cash position and increased financial flexibility, we believe we are well positioned to evaluate strategic growth initiatives while continuing to drive long-term value for shareholders. Please turn to Slide 14, and I'll touch on our key capital allocation priorities in support of our multiyear transformation plan. We're primarily focused on 3 key areas: growth; debt repayment; and share repurchases. First, we're investing in both organic and inorganic opportunities to strengthen our core businesses and drive future revenue expansion. We're focused on increasing international revenue from our medical countermeasures segment. We're also expanding our commercial reach through KLOXXADO Nasal Spray, which was recently integrated into our sales platform, NARCANDirect. We also made an investment into Rocketvax and are evaluating investments into key internal R&D programs. Going forward, we plan to continue to assess business development opportunities that align with our core markets and long-term growth strategy to effectively deploy investment capital. Next, we'll consider debt repayment to strengthen our balance sheet and improve financial flexibility. We're also committed to exploring additional ways to create shareholder value. We previously announced a $50 million share repurchase program in March 2025, which is active through March of 2026. In the second quarter of '25, we repurchased 1.1 million shares for $6.9 million. We will continue to evaluate the timing and amount of future share repurchases based on market conditions and other factors. Transitioning to Slide 15, we are raising the low-end and midpoint of our full year 2025 adjusted EBITDA guidance and narrowing the 2025 revenue range based on performance year-to-date. Full year 2025 guidance is as follows: Total revenues of $765 million to $835 million; for the first half of the year, we reported revenues of $363 million and are still expecting a stronger back half of the year; adjusted EBITDA of $175 million to $200 million, which is an increase of approximately $13 million at the midpoint, reflecting year-over-year margin improvement driven by a more efficient cost structure across the business; adjusted gross margin of 50% to 52%, which is a roughly 600 basis point expansion at the midpoint versus 2024 results, primarily driven by restructuring initiatives, improved utilization across our streamlined manufacturing network and the growing contribution from international partnerships. Moving to segment level revenue guidance. For MCM product sales, we are anticipating $440 million to $475 million across U.S. government and international orders. Commercial products, including KLOXXADO, are expected in the range of $265 million to $300 million. And for the third quarter of '25, we're forecasting total revenue of $180 million to $210 million, driven by ongoing strength across both our commercial and MCM portfolios. This outlook reflects our visibility into the timing of MCM deliveries with the majority expected in the second half of the year. Additionally, NARCAN continues to perform well, supported by consistent demand. We believe that the intranasal naloxone market will grow in the low to mid-single digits, supported by ongoing public health initiatives and strong demand across both commercial and public interest channels. We continue to maintain a market-leading position in this space, which we think further reflects the resilience of our brand and the trust we've built with key stakeholders. In closing, on Slide 15, we're making solid progress on the turnaround phase of our multiyear plan with strong execution through the first half of '25. Our 2025 revenue outlook remains focused on our core business across both the medical countermeasures and commercial segments. Of note, we are also seeing strong demand for our MCM products internationally, a key strategic focus with year-to-date sales of $102 million or 48% of total MCM revenue. Utilization has improved across our manufacturing network and streamlined operating expenses are driving sustained positive operating cash flow and robust cash generation year-to-date. The improved profitability of our business, coupled with the significant improvement in cash has resulted in a material deleveraging of the business. Again, net leverage ended at 1.9x adjusted EBITDA in the second quarter of '25, down from 9.9x in the prior year. Looking forward, we remain committed to pursuing strategic growth investments while actively identifying opportunities to deliver value to our shareholders. I'll now turn the call back over to Joe to discuss our business outlook and catalysts. Joe?
Joseph C. Papa: Thank you, Rich. Turning to Slide #18. I'd like to provide a more detailed outlook on our business segments and our future growth drivers. Let's start with NARCAN. We work relentlessly to help save lives through our efforts to increase access and awareness to naloxone while helping to maintain affordability for NARCAN 4 milligrams and KLOXXADO 8 milligrams. We are closely following the positive impact that NARCAN Nasal Spray is having on opioid overdose deaths. Third-party sources have now confirmed the association between the year-over-year decline in overdose deaths and the over-the-counter availability of NARCAN starting in the third quarter of 2023. We know there are a variety of factors that play into this tremendous reduction, but we are proud to be a contributor to help save lives. During our first quarter earnings call, we experienced some short-term and onetime headwinds in demand for NARCAN. I want to reiterate that NARCAN volume was grew this quarter by 50% versus the first quarter of 2025, indicating we believe these one-off events now be behind us. Our leadership in the public interest channel remains strong. We have several new and returning customers, which we believe is driven by our market-leading solutions and our competitive pricing. On the retail side, we gained additional visibility through our participation in the Amazon Prime Day in July, and our business-to-business efforts are showing progress as we added several new partners this quarter. We have also fully integrated KLOXXADO Nasal Spray and new convenient kits in our NARCANDirect distribution platform. This offering makes it easier for our customers who need life-saving solutions for their communities and patients. Notably, just recently, KLOXXADO gained Preferred status on the Humana Medicare Part D formulary, giving us access to approximately an additional 5.8 million lives. In May, we announced a 3-year agreement valued at approximately $65 million with the province of Ontario to supply our life-saving NARCAN treatments and the orders have already begun. Additionally, we supplied NARCAN to the Royal Canadian Mounted Police, who covered the G7 Leaders' Summit in Canada. This provides us even more visibility for our product to the Canadian market. Examples like these further illustrate the importance of our products to help save lives. Finally, just last month, the U.S. House of Representatives placed an over-the-counter naloxone next to every AED or defibrillator located in the building, providing direct access to first responders to help anyone experiencing an opioid overdose. This effort was led by Republican representative Buddy Carter of Georgia, who is a supporter of this public health issue. Moving to Slide 19. Our MCM business benefits from strong international and congressional bipartisan support, and there are multiple favorable developments that I want to highlight. First, on June 25 at the NATO Summit, member nations reached the decision to raise defense spending from 2% to 5% of GDP by 2035, allocating 3.5% towards core military activities and 1.5% towards broader defense- related priorities. This shift unlocks an estimated $2.5 trillion in new funding over the next decade and signal of a sustained increase in demand for advanced medical countermeasures. Emergent is already active in international markets, supplying allied governments with critical biodefense solutions. We believe this incremental investment in national defense bodes very favorably for our top line growth. Second, in June of 2025, the Health Emergency Preparedness and Response Authority, or HERA, held an important industry day in Brussels. This event represents yet another example of the EU prioritization of medical countermeasures on a global scale. Now, let us discuss our recent contract awards. We announced a $62.4 million contract modification for BAT, which was followed by a $51.9 million contract modification for VIG, our smallpox preparedness. Importantly, year-to-date, we have already secured 7 revenue-generating contract modifications. And based on our continued dialogue with the U.S. government, we are still expecting contracts for additional products that will be executed in the second half of the year. An area that we believe sets Emergent apart, yet receives very little attention is that, we not only supply and help the government stockpile medical countermeasures, but we also service the quality and stability of those products after the initial sale. These services provide us with an ongoing revenue stream. Turning now to our efforts in the global outbreak and unmet need against mpox. We continue to engage with the World Health Organization on emergency use listing for ACAM2000 vaccine, as well as with key African country leaders to offer our assistance with the mpox outbreak. We recently announced a new publication in a peer-reviewed journal expert review of anti-infective therapy, which reviewed our TEMBEXA, or BCV, as a potential antiviral treatment for mpox. The Panther-led MOSA trial to evaluate BCV for mpox has been enrolling patients in the Democratic Republic of Congo since January. And as mentioned in my earlier comments, this is critical work to understand and evaluate the potential line extensions for the TEMBEXA product. On Slide 20, we outline our outlook on future growth and cash deployment. Rich touched on the capital allocation in his remarks, but I'd like to underscore our plan, which is to invest the cash we have generated from our business into 3 growth tracks. Number one is to invest in new government collaborations for line extensions and new products within our existing R&D pipeline. Number two is for continued international growth investments; and number three is to look externally to identify value-creating programs that align strategically with our current business model and capabilities. At the beginning of 2025, we took 2 steps towards pipeline development. First, our investment agreement to support the research infrastructure development and expansion of Swiss Rockets, the parent company of our Rocketvax venture. Next, we acquired exclusive commercial rights to distribute KLOXXADO Nasal Spray in the U.S. and Canada as an added tool to fight the opioid crisis. Finally, our strong cash flow and liquidity position continue to enable us to explore and expand investment opportunities into attractive areas and create shareholder value. In closing on Slide 21, we have outperformed our top line guidance in the second quarter. We expect a strong second half of the year and are narrowing the 2025 revenue range to $765 million to $835 million and raising the low-end and midpoint for adjusted EBITDA guidance to $175 million to $200 million as we continue to see positive indicators that we remain on track to execute on our multiyear turnaround plan. Looking at the external environment, we firmly believe that business such as ours are extremely valuable in an increasingly dangerous workplace. This reinforces our confidence that we are executing a strategic multiyear turnaround plan that is focused on generating value for our shareholders. As we transform, we will plan to operate with the highest standards for quality, ethics and compliance to all that we do. With that, operator, I look forward to taking additional questions. Please open up the line for questions, operator. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Jessica Fye of JPMorgan.
Jessica Macomber Fye: I have a few on NARCAN. So first, you mentioned some strategic pricing actions. Can you elaborate on when that happened and what the average price of NARCAN is now? Second, I think you said the naloxone market will grow low to mid-single digits. Is that volume or revenue? And third, how do you think about the ability to maintain your current market share? And then just a housekeeping question on SG&A. It looks like that came in nicely below our forecast this quarter. Is that 2Q SG&A number a good run rate for the rest of 2025?
Joseph C. Papa: Again, I'm going to try to get all of these, Jessica, but if I miss any, please let me know. On the NARCAN pricing actions, what we're really referring to are some of the pricing actions that have occurred over the last 12 months. Over the last several months, NARCAN pricing has been relatively stable over the last several months. So we feel that this is a pretty stable pricing environment right now. Obviously, things could change. But right now, we see really pricing stability in the timing of what we're seeing. As it would relate to the market growth for naloxone, you're absolutely correct, we do expect low to mid-single-digit growth rates for the naloxone market. And our view on this is it's done -- it is going to be for a couple of different factors. Number one, unfortunately, there's still 80,000 people a year dying because of opioid overdoses. So we still believe that this is a very pressing problem. And at least the data that we see, as I mentioned, some of the third-party proof sources really suggests that the availability of OTC NARCAN has made a difference in the last -- since the third quarter of 2023. So we're seeing the trend lines continue to go down, but this is no time to stop, and we expect that we'll still have a problem out there that people will invest behind to stop the problem. Also, clearly, the availability of the litigation settlement funds from the large pharma companies that had opioids and that availability of those funds over the next 10 years, we also think will be an important growth factor for helping to grow the market and save more lives based on -- we've seen the evidence of saving lives from some of the third-party proof sources. And now we have some additional capacity based on the settlement funds to help fund the opioid overdose treatments like the NARCAN product, but also obviously for education. So we do think that's going to be an important part. The last part you said you asked about was maintaining market share. And as I said, I think we feel very comfortable. We still are the majority share player in this marketplace. This market is much different than a market like a generic market where one could lose a significant amount of share in the first 6 to 12 months. We've been holding on to our share, and we expect that we will continue to be the market leader as we develop new programs, new line extensions. We have the KLOXXADO as part of our program. And then importantly, we're making it easier to do business with us through our NARCANDirect programs while we always seek to maintain competitive pricing. We don't match, but we have competitive pricing. So we think those are the reasons why we've been able to hold on to share and expect to hold on to share in the future. I think you wanted to ask also about the Q2 run rate, Rich.
Richard S. Lindahl: Yes. Jessica, thanks for the question. I would say, yes, I think it's a pretty decent run rate for the rest of the year, plus/minus maybe 5%, something like that.
Jessica Macomber Fye: Great. And just -- sorry, coming back on the naloxone market growth, low to mid-single digits. Was that volume of the market or overall market revenue?
Joseph C. Papa: So we are referring mostly to the volume of the market, to be clear. But as long as pricing stays relatively stable, it should translate to that. But obviously, we're going to keep a close eye on what's happening with the pricing. But as I said, over the last several months, naloxone and NARCAN pricing has been relatively stable.
Operator: Our next question comes from the line of Raghuram Selvaraju of H.C. Wainwright & Company.
Eduardo Rafael Martinez-Montes: This is Eduardo on for Ram. Just a quick question, maybe talk a little bit about NARCAN. Have you seen -- is the market demand -- have you seen any changes given the recent influence of some of the new synthetic opioid-like abuse agents like these nitazenes and how they're even stronger than fentanyl? Are you guys seeing any responses from the public health officials in response to that?
Joseph C. Papa: Yes. We've obviously been following this very closely. We have a way to continue to look at what's happening from the reports. Obviously, if I follow in the press, I'm sure you have as well. What I would say is that, we're obviously concerned about this, and we believe because of the strength of these products, even more reason to have NARCAN available for every household because you just never know when some problem is going to be happen. And obviously, we hope that no one overdoses on opioids, but fortunately, it's happening. So we want to make sure that NARCAN is available to help these patients and get to a point where they can get treatment, they will -- they can survive rather than unfortunately, not having access to NARCAN and unfortunately, time goes very quickly when they don't have the product on board, they can run the opioid overdose problem. So we're seeking to increase access to NARCAN and all the naloxone products for that matter. We believe that's an important initiative, and we're working diligently with everybody. I think we won't rest until we feel that NARCAN is available in every first aid kit because we believe that's the kind of situation, unfortunately, we find ourselves in and NARCAN is a very cost-effective way to save lives. And unfortunately, there's still a lot of people dying. So we're working on making NARCAN more accessible because we passionately believe it will save lives.
Eduardo Rafael Martinez-Montes: Got it. That's helpful. And switching over to MCM. Do you have any updated thoughts about the competitive landscape for smallpox antiviral specifically and the potential for brincidofovir use, especially in light some of the recent findings about the limitations of tecovirimat.
Joseph C. Papa: Sure. So we're tracking that as well. We -- obviously, as I mentioned in the comments that we are initiating -- working with Panther to do clinical trials to show the effectiveness of our TEMBEXA product. We do believe that getting that clinical trial data would be very beneficial to us. We think this is an opportunity. TEMBEXA is a very potent antiviral, and we look forward to getting some additional data on it. Obviously, we are working closely with BARDA everybody in the U.S. government, Department of Defense, Strategic National Stockpile and our plans for TEMBEXA as well as the African countries on getting some additional clinical work. So I don't know if I want to say much more about our competition other than saying we are strong believers in the power of the TEMBEXA product to help patients. We're out getting some additional data right now in Africa, and we believe that will be very beneficial for all patients as we show the outcomes from TEMBEXA. So we're working very hard today on it and look forward to have more to say tomorrow about what that means, not just for mpox, but also for the implications for smallpox. So we'll just have more to say about that in our Africa clinical trials and our additional discussions with the U.S. government. But the U.S. government has an interest in what we're doing, and they're looking to talk more about what we're doing for the future. The good news is that, U.S. government has been very open to meeting with us from -- we have a regular meeting with BARDA, Strategic National Stockpile, Department of Defense on a regular or quarterly basis at the highest levels of their organizations to ensure that we're in line with what our expectations are, what they are our expectations. So we'll just have more to say about that as we get more data.
Eduardo Rafael Martinez-Montes: Got it. And one final one in the MCM space. Just curious if you have any additional contract modifications you expect in the second half of '25 and for which specifically specific biodefense preparedness programs?
Joseph C. Papa: The easy answer is yes. We do expect to have additional contract modifications, revenue-generating contract modifications in the second half of 2025. I probably don't want to make specific comments on any individual products, but I think the fact that we already had 7 year-to-date, I think through the first half of the year suggests that certainly likely we'll get some additional contract modifications during the second half of the year, and that is our expectation. I probably don't want to go into any more details.
Richard S. Lindahl: Yes. I mean, the only thing I would add is, I think we have line of sight to some of these things, and that's incorporated into the guidance that we provided.
Operator: I would now like to turn the conference back to Joe Papa for closing remarks. Sir?
Joseph C. Papa: Well, thank you, operator. Thank you, everyone, for joining us today. I think as you can hopefully tell, our team is very excited about our mission to protect and save lives and these future growth driver opportunities that we see in front of us. As I said, it's an increasingly dangerous world, and we believe very much in our ability to help reduce that risk through our medical countermeasures. And importantly, we believe that our NARCAN product and KLOXXADO are well positioned to save people's lives from opioid overdoses. So look to us to have more to say about that in the future. And certainly, thank you for all your attention today, and I hope you certainly look at some of the financials we put out and our ability to significantly impact our financial metrics over the last 12 months. If you look at everything, cash generation, EBITDA, operating expenses, I think they've all moved in the right direction. So thanks again for joining us today, everyone. Have a great day.
Operator: Thank you all. And with that, ladies and gentlemen, we now conclude the call. Thank you for your participation. Please note, an archived version of today's webcast as well as a PDF version of the slides used in today's call will be available later today and accessible through the Investors landing page on the company's website. Thank you again. We look forward to speaking with you all in the future. Goodbye.